Andrzej Matyczynski: Thank you for joining Reading International's Earnings Call to discuss our 2019 First Quarter Results. My name is Andrzej Matyczynski, I'm Reading's Executive Vice President of Global Operations. With me as usual Ellen Cotter, our President and CEO; and Gilbert Avanes, our Interim Chief Financial Officer and Treasurer. Before we begin the substance of the call, I'll start by stating, that in accordance with the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, certain matters that will be addressed in this earnings call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings. We undertake no obligation to publicly update or revise any forward-looking statements. In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP financial measures, which are segment operating income, EBITDA and adjusted EBITDA, are included in our recently issued 2019 first quarter earnings release on the company's website. In today's call, we also use an industry-accepted financial measure called theater level cash flow, which is theater level revenues less direct theater level expenses and we also use property level cash flow, which is property level revenues less direct property level expenses. Please note that our comments are necessarily summary in nature, and anything we say is qualified by the more detailed disclosure set forth in our Form 10-Q. As usual with that behind us, Gilbert will put some flavor on our financial results for the first quarter later on. But first, I'll turn the call over to Ellen, who will update us on our first quarter 2019 operations. Ellen?
Ellen Cotter: Thanks, Andrzej, and thank you for sending in your questions and listening today. As usual, we've tried to address many of your questions in our prepared remarks. Before we start, I wanted to mention that on Tuesday May 7, Reading held it's 2019 Annual Stockholder Meeting at our Culver City corporate headquarters. Management's presentation to our stockholders is now posted at readingrdi.com, we encourage you to review our presentation for more details about our business. Now let's turn to our first quarter results. The first quarter of 2019 was disappointing for Reading, with a few factors impacting our financial results across the board. The first quarter 2019 movie slate from the major studios simply couldn't stack up against the first quarter of 2018. When Disney released Black Panther, which went on to become not only the best picture nominee, but also the highest grossing movie of 2018. Just in North America alone, Black Panther grossed over $700 million. Our global commercial theaters were impacted by the weaker slate of movies. And our U.S. specialty or Angelika circuit was also weaker compared to 2018. During the first quarter of 2018 we had films like I, Tonya, Lady Bird and The Shape of Water, all great crossover specialty titles that had long legs into the Oscar season, especially The Shape of Water, which went on to win best picture. The expected – unexpected January 2019 closure due to seismic concerns of Courtenay Central in Wellington, New Zealand also impacted both our cinema and real estate results. Our Reading Cinemas at Courtenay Central was not only one of the top theaters in New Zealand, but also our number one theater in the Reading New Zealand circuit. Lastly, our first quarter 2019 cinema and real estate operating results were negatively impacted by foreign exchange. The Australian dollar and New Zealand dollar decreased against the U.S. dollar by 9.4% and 6.3% respectively when compared to 2018. So primarily impacted by these negative factors our first quarter total revenues decreased 19% from the prior year to $61.6 million. As a result, basic earnings per share decreased by $0.22 to a loss per share of $0.09 from the prior quarter. Our first quarter 2019 cinema segment revenues decreased by 20% to $58 million, which is broadly in line with the overall cinema industry and reflective of similar decreases experienced by our publicly traded exhibition company peers. Despite the headwinds in the first quarter, we were thrilled with Disney's latest home run with Avengers: Endgame at the end of April, which further reinforces our confidence in the cinema industry and reflecting the two track nature of an investment in Reading, both the cinema and real estate business. We're pleased to note the continued progress we've made on our signature real estate project 44 Union Square, this historic Tammany Hall in New York City. We are nearing the completion of the construction of this building, featuring an iconic dome that was designed to reflect the tortoise on which the legendary Lenni Lenape Indian Chief Tamanend. We're also pleased to report that we are in negotiation with a credit tenant on a lease representing approximately 90% of the net leasable area of the building. Turning to our global cinema business. As a result, primarily of the four factors, I just outlined, our first quarter 2019 total cinema revenues decreased by 20% to $58 million compared to the first quarter in 2018. And our cinema segment operating income of $2.6 million decreased by $7.6 million. Going into more market detail. Our U.S. cinema circuit total revenue decreased by 16% or $6 million to $32 million due to a 22% decrease in attendance, which led to our U.S. cinema operating income decreasing by 125%. On the other hand, we are pleased to report that both the average ticket price or ATP and food and beverage spend per patron or SPP for the U.S. cinemas had the highest first quarter ever on record reflecting the success of our operational initiatives and strategies. Our U.S. submission revenue or box office revenue for the first quarter of 2019 was down 19%. The U.S. industry box office for the period was down 16% falling from $2.5 billion to $2.1 billion. We believe that we didn't now perform the industry this quarter primarily due to the fact that 11 of our U.S. theaters rely on art and specialty programming. And the specialty films in the first quarter were again not as strong as they were last year. Turning to Australia. Our Australian cinema revenue decreased by 20% or $5.3 million to $21.4 million primarily due to a 15% decrease in attendance, a 4% decrease in ATP and a 9% decrease in SPP. Our Australian cinema operating income decreased by 48% to $3.1 million from the previous quarter. Again, the results in Australia were driven the weaker film slate and foreign exchange impact. On January 30, 2019 we acquired and established four screen cinema in Devonport, Australia for $1.4 million or A$1.95 million. This is our first Reading Cinema in the state of Tasmania. We've already been successful in obtaining a liquor license for this location, which we believe will enhance the theater level cash flow. And during the first quarter of 2019, we invested in our Reading Cinemas at the Harbour Town Shopping Centre in Queensland and built out two new gold class cinemas and reflecting our increased focus on SMB, we built a new kitchen and an elegantly appointed lounge. And with respect to New Zealand, our cinema revenue there declined by 40% or $3 million to $4.5 million over the same period last year. Attendance decreased by 40%, while ATP and SPP percentages remained relatively flat compared to the same period in 2018. In New Zealand our cinema operating income decreased by 78% to $305,000 in the first quarter of 2019 compared to the prior year's quarter. As I mentioned earlier, our New Zealand cinema revenues were not only negatively impacted by a weaker film slate and foreign exchange, but also adversely impacted by the January 2019 closure of Courtenay Central. With respect to our international box office industry performance, our first quarter 2019 Australian cinema box office was relatively in line with the Australian cinema industry decline of 9.5%. With a less than 1 percentage point difference on a functional currency basis. And the 2019 box office of our New Zealand cinemas division fell behind the New Zealand cinema industry by 19.3 percentage points on a functional currency basis, which was again mainly due to the closure of the Courtenay Central cinema. Looking forward through 2019, we're all encouraged by the remaining movie lineup and still have great hopes for another strong year at the box office. The summer will start with a bang with Godzilla, Toy Story 4, Spider-Man and Hobbs & Shaw and Frozen, a Jumanji and the Star Wars will open up during the 2019 holiday season. In the first quarter of 2019, we continued executing on our global cinema strategy to deliver engaging experiences to our guests. During the first quarter of 2019, we continued to invest in cinema improvements and upgrades. In the U.S., we continued our top to bottom renovation at our consolidated theater in Mililani in Hawaii. By the end of 2018, we've converted all 14 screens to recliner seating and added a TITAN LUXE screen. In the first quarter of this year, we began upgrades to the kitchen and lobby and we anticipate opening the full lobby and launching an elevated SNB offering, including the addition of liquor in the second quarter of 2019. As I mentioned before, we also constructed two additional Gold Lounge screens in a new kitchen and brand new lounge area at our Reading Cinemas at the Harbour Town Shopping Centre in Queensland and we added there select upgrades to our food and beverage offerings. This new amenity launched during the first quarter of 2019. Additionally through the quarter, we continue working on upgrades to other cinemas in the U.S., Australia and New Zealand. Before the end of 2019, we have plans to convert another eight screens to recliners with one TITAN LUXE in the U.S. By the end of the second quarter in 2019, we will convert two auditoriums to TITAN LUXE in Australia and in New Zealand, we'll convert one screen to TITAN LUXE and another to premium. Turning to our SMB initiatives. In the U.S. our first quarter 2019 SMB revenue decreased by 11% over the first quarter of 2018 as a result of the lower attendance. This was offset by an increase in SMB revenue at our newly renovated Reading Cinema in Murrieta, California, which now features spotlight our first dining concept that experienced its first full quarter of operation in the second quarter of 2018. The first quarter of 2019 SMB revenues for Australia and New Zealand cinema divisions decrease by 23% and 42% respectively impacted principally by lower attendance and by the decline in the Australian and New Zealand dollars and the closure of the Courtenay Central cinema in New Zealand. Again, our focus on our SMB business plan continued throughout each circuit during the first quarter. Our U.S. and New Zealand SPP has set records for the highest first quarter ever on a functional currency basis. The U.S. SPP for the first quarter was $5.18 and in New Zealand the SPP in New Zealand dollars was NZ$4.45. In January 2019, we began selling beer, wine and spirits at our newly acquired cinema in Devonport, Tasmania. And in our recently renovated cinema in Harbour Town, we now offer beer, wine and spirits in all 16 auditoriums. We continue to use our digital platforms to drive revenues. We achieved a first quarter record for U.S. online revenue be in the prior year quarter record by 14%. Online sales consisted of 25% of our global box office revenue, which is the first quarter record and represents an 18% increase from the prior year period. Our continued improvements to our website naps in the U.S. and improved global online sales infrastructure are enabling us to better serve high sales volume. Now turning to the new cinema opportunities in our Australian business. Our recently acquired four screen cinema in Tasmania has been in operation as Reading Cinemas since January 30, 2019. With this purchase Reading now operates in all six sates in Australia. Our cinema pipeline includes four new cinemas with 25 new screens in Australia. As we mentioned at our Annual Stockholders Meeting, these are at Burwood and Melbourne, Traralgon outside Melbourne, Jindalee in Queensland and South City Square, Brisbane. The most exciting opportunity for us is in the Melbourne suburb of Burwood. Construction on the Burwood property has progressed well throughout the first quarter. This theater will be our first to feature recliner seating in all six auditoriums represents Melbourne's first premium TITAN LUXE auditorium with Dolby Atmos sound and will offer a new and elevated SMB program throughout. This theater is the world's first shopping center to achieve the Living Building Challenge certification, which means it will generate more energy than it consumes on an annual basis. And this theater in Burwood is targeted to open by the end of 2019. Now let's turn our attention to our real estate business. Our first quarter 2019, total real estate revenues, which include our live theater revenue totaled $5.4 million was a decline of 10% or $577,000 over the prior year's first quarter. Our real estate operating income totaled $1.2 million, which decrease by 31% or $523,000 when compared to the first quarter in 2018. These decreases were primarily due to a weak foreign currency exchange rate and a decrease in revenue from our New Zealand segment. Principally related to the closure portions of Courtenay Central, offset by a 56% increase in the live theater segment revenue. Now turning to our Australian real estate portfolio. Our Australian real estate revenue decreased by 6% or $238,000 to $3.9 million compared to the first quarter in 2018. This decrease is due to the 9.4% decline in the Australian dollar. On a functional currency basis the property level cash flow of our Australian real estate business increased about 8% quarter-over-quarter with most of our main Australian centers, Newmarket Village, Auburn, Redyard, Belmont Common enjoying increases in rental income over the first quarter in 2018. Turning to our assets in New Zealand. New Zealand real estate revenues decreased by 56% or $672,000 to $527,000 compared to the first quarter of 2018. This decrease was mainly due to the ongoing closure of portions of Courtenay Central and was further negatively impacted by the weakening New Zealand dollar by 6.3%. In early January 2019, we decided to close our Courtenay Central building after receiving a draft engineering report, identifying potential risks in the cinema portion of our building if a major seismic event were to occur. As we reported to last quarter, we took this action voluntarily and out of an abundance caution and making the safety of our guests, employees and tenants are first priority. We subsequently reopened three tendencies that fronted onto Courtenay place. Our Reading Cinemas and the group of tenants whose locations could be adversely impacted by a failure of the cinema portions of the property have remained closed pending further evaluation. Because we took this action voluntarily and without suffering physical damage from a particular event, we do not have an insurable loss. So insurance is not available to Reading for the period of this closure. As we mentioned at our Stockholders Meeting these unfortunate events haven't dampened our enthusiasm about Wellington, which was again ranked the most livable city in the world in 2018 by Deutsche Bank. We were also very encouraged by the city council's recent announcement that it filed a 450 page consent application detailing exciting plans for a NZ$179 million convention and exhibition center right across the street from Courtenay Central. The Wellington City Council estimates that the convention center will open its doors in 2022 and expect to draw about 300,000 annual visitors. The council also noted in its application that it doesn't have plans to construct a parking garage. We anticipate that the parking structure currently contemplated by our redevelopment plans, which will replace the structure demolished as a result of the 2017 earthquake will benefit from this decision of the council. Our international development team has set its full attention to the redevelopment and the reinvention of the legacy Courtenay Central space with the goal of breathing new and more immediate life into this space. As our Reading Cinema at Courtenay Central was our top performer in New Zealand, we will complete a top to bottom renovation of this theater. We hope to attract both the local Wellington community and the sizable tourist audience to a dynamic destination food hall on the ground floor. And we're looking to activate historically unused retail space with a big box user to compliment our other users. As we focus our attention on the reimagination of this particular part of the overall master plan for Courtenay Central will also be refining our plans for the Wakefield Street property directly across from the proposed Wellington convention and exhibition center and our potential car park on Tory Street. And now turning toward to undeveloped parcels representing 70.4 acres or 285,000 square meters in Manukau-Wiri, which is one of Auckland's premier industrial markets. As we reported earlier in November 2018, along with two of our neighboring landowners, who collectively with Reading makeup the Southern Gateway Consortium, we lodged a resource consent application to complete the stage one key infrastructure works required by the Auckland City Council before we develop our land. To date only design and planning costs have been incurred and had been shared equally by the Southern Gateway members. To protect its interests Reading is also retained a few of its own core expert consultants. During 2019, the Southern Gateway Consortium will finalize planning and cost sharing arrangements for the remaining infrastructure work amongst not only us but also applicable government agencies. In 2020, the Company will in parallel look to begin the actual construction of the infrastructure work and explore potential monetization events, which may include a possible joint venture with adjoining property owners or a local institutional property group, the sale to a foreign or local buyer or self-development with pre-lease commitments. Now let's turn to our real estate business in the United States. First, I'll highlight that our live theaters had a strong first quarter. Revenue increased by 56% or $300,000 in the first quarter of 2019, compared to the same quarter in 2018. In February 2018, we entered into a one-year license agreement with Audible, Inc., a subsidiary of Amazon at the Minetta Lane Theatre. In April 2019, this agreement was extended through March 2020 with an option to further extend for one additional year through March 2021. Audible will continue to produce plays and special engagements featuring one or two actors for live performance in our theater. And then record these productions, which will then be offered on Audible.com. At Orpheum Theatres, STOMP just celebrated its 25th anniversary at the theatre in February, 2019. The producers launched impressive marketing and press campaign, which generated great local and national press. Turning to 44 Union Square, our historic Tammany Hall project in New York City. As I mentioned, from a construction perspective, we're nearing the completion of the base building. We believe we'll be ready to turnover space to a potential tenant by the end of the second quarter 2019. Also, our iconic glass dome should be completed around the same time. If you go to 44 Union Square's Instagram page, you'll see recent photos of the building which show the steel frame in the shape of Chief Tamanend tortoise almost complete. Our appraisers have indicated that just by completing the construction without any leasing done, we've created significant value for our stockholders. As we've reported publicly, we signed a letter of intent with a credit user for 90% of the leasable square footage. While we cannot provide assurances that the leases with this tenant will be finalized, we're focused on getting the lease done over the next couple of months. At the same time, we're continuing to show the space to other potential tenants in pursuit of the best deal for our stockholders. Reading is in a strong financial position and we're not going to compromise our returns with this one of the kind of – one of a kind of asset for just any transaction. Turning to the Cinema 1, 2 and 3, our development property on the Upper East Side of New York City across the street from Bloomingdale's. I told our stockholders at the 2019 annual stockholders meeting that our management team had decided to pursue go-it-alone strategy after trying for a long time to complete mutually beneficial deal with our neighbors. As the Union Square project approaches its final stages, we can turn our U.S. development focus to the Cinema 1, 2 and 3. In the next six to nine months, we'll be focusing on determining the maximum development potential for this site. A few topics that we'll be at the forefront, first, the purchase of air rights to increase our potential, which will add about 20% toward development potential, our ability to develop space in the seller that does not count towards our FAR, the impact in placement of the subway entrance, which is right now outside of doors making our cinema most convenience on the Upper East Side. And to preserve the full optionality of our development, we'll file a rezoning application for best-in-class cinema. We continued to believe that the Cinema 1, 2 and 3 is an irreplaceable asset in one of the world's best cities. The recently opened IKEA Metro store next door to the cinemas reinforces our view. We're moving forward with defining a plan for the standalone development of approximately 96,000 square feet. In the interim, we'll continue to use the space as a cinema. With that, I'll turn the call over to Gilbert for our financial view of the first quarter 2019.
Gilbert Avanes: Thank you, Ellen. As we have noted, 2019 had a slow start due to a weak film slate. However, with the release of Avengers: Endgame at the end of April 2019, we have started to gain momentum and look forward to the rest of the year with new releases such as Lion King, Star Wars: The Rise of Skywalker and Frozen 2. Consolidated revenue for the first quarter of 2019 decreased by $14.3 million to $61.6 million. This was again driven by a weaker film product, which resulted in a decrease in attendance in our U.S., Australia, and New Zealand circuits. These results were further impacted by a 9.4% decline in Australian dollars and a 6.3% decline in New Zealand dollar for the quarter ended March 31, 2019 compared to the quarter ended March 31, 2018. As mentioned previously, our New Zealand results were also negatively impacted by the closure of our Courtenay Central cinema in Wellington due to seismic concerns, which have historically been top performer in New Zealand. Net income to RDI common stockholders decreased by $5.2 million to a loss of $2.1 million for the first quarter March 31, 2019 compared to the same period the prior year. Basic earnings per share for the quarter ended March 31, 2019 decreased by $0.22 to a loss per share of $0.09 from the prior year quarter, mainly due to a significant decrease in revenue from both our cinema and a real estate business segments. Non-segment general and administrative expenses for the quarter ended March 31, 2019 compared to the same period of the prior year decreased by 18% or $1.1 million to $5 million. The decrease is primarily the result of $1 million of lower legal expenses ending March 31, 2019 compared to the same period last year. Income tax expense for the quarter ended March 31, 2019 decreased 189% or $2.2 million compared to the equivalent prior year period. The change between 2019 and 2018 is primarily related to pretax loss in 2019. Our adjusted EBITDA decreased by $7.8 million to $4.8 million, primarily due to a net loss in the first quarter of 2019, offset by decrease in income expense and legal fees. We have adjusted the EBITDA for a certain item we believe to be external to our business and not reflective of our cost of doing business or results of operations. Such costs include gain in insurance recoveries, legal expenses relating to extraordinary litigation, adjustments to the gains and losses relating to the property sales and any item that can be considered non-recurring in accordance with the two-year SEC requirement for determining an item is non-recurring, infrequent or unusual in nature. We believe adjusted EBITDA is an important supplemental measure of our performance. Shifting to cash flow. Our net cash provided by operations for the first three months of 2019 decreased by $6.3 million to net cash used by operations of $3.8 million were compared to prior year first quarter. This was primarily driven by $4.7 million lower cash inflow from operating activity as well as a $1.5 million decrease in net operating assets. Cash used in investing activities decreased by $10.9 million in Q1 2019 due to decrease in our cinema refurbishment activities and the substantial completion of upgrading and expansion of our Australia ETC compared to the first quarter of 2018. However, it is anticipated that the spending on our cinema activities will pick up over the remaining of the year. Cash provided by financing activities was $15.9 million during the three months ended March 31, 2019 and was primarily related $22.3 million of new borrowings, offset by $6.1 million of loan repayments. Turning now to our financial position, our total assets increased $235.5 million to $674.5 million. This large increase was primarily driven by implementation of the lease accounting standard effective January 1, 2019, which also resulted in a similar increase in our liabilities. Our financial position remains strong with $179.9 million in stockholders' equity supporting our assets. Additionally, our liquidity position remained strong with $12.6 million of cash on our balance sheet at March 31, 2019. Our total cash balance amount of $3.2 million and $0.7 million were held by our Australian and New Zealand subsidiaries respectively. We used the amounts that we received from our cinema and real estate business to paydown our long term borrowing and release savings from lower interest expenses. We then settle our operating expenses generally with the lag with traditional trade terms. This generates a working capital deficit, which is positive for the company. We manage our cash investment and capital structure, so we are able to meet short term and long term obligations for our business, while maintaining financial flexibility and liquidity. As of March 31, 2019, there was approximately $107.1 million additional capacity under our borrowing arrangement in the U.S., Australia and New Zealand with $83.5 million of that $107.1 million being unrestricted capacity. Our overall global operating strategy is to conduct business mostly on a self-funding basis, except where it is organizationally and economically more attractive for us to move funds between the jurisdictions where we do business. On March 15, 2019, we amended our revolve with corporate market loan facility with NAB from a facility comprised of Australian A$66.5 million loan facility with the maturity date of June 30, 2019 and a bank guarantee of A$5 million into A$120 million corporate loan facility with a due date of December 31, 2023 and a bank guarantee facility of A$5 million. Of the A$120 million, A$80 is revolving and A$40 million is core. With that, I will now turn it over to Andrzej.
Andrzej Matyczynski: Thanks, Gilbert. First, I'd like to thank our stockholders for forwarding questions to our Investor Relations e-mail. As Ellen mentioned earlier, we've tried to incorporate many of your questions in Ellen's prepared remarks. However, we are still compiled a set of questions and answers representing the most common questions and recurring themes e-mailed to us and not addressed in those remarks. As always, we're available after the webcast to address any additional questions and encourage you to continue reaching out to us.
A - Andrzej Matyczynski: So the first question, which I will answer is, why is Reading not more aggressively repurchasing shares? Well, we maintain a balance approach to capital allocation and are committed to directing capital to areas, where it can drive the greatest long term value for our stockholders through strategic investments in our cinemas and real estate development projects and returning capital directly to stockholders. Under our stock repurchase program, which was recently extended through March 2, 2021, Reading has repurchased 559,627 shares of Class A stock for $8.8 million. We have $16.3 million available for future Class A stock repurchases over the next 24 months. And we are committed to our repurchase program as a means of returning value directly to stockholders. I would also add that as a company, we are fortunate to have a strong pipeline of great projects from Tammany Hall in New York to Manukau in New Zealand. We will continue to review our cash needs and investment opportunities and deploy capital to areas, where it can drive the greatest returns as part of our balanced approach. The second question regarding subscription plans domestically, do you expect to underperform attendance market trends given last year's benefits for MoviePass and this year is ramping of domestic competitors? Ellen?
Ellen Cotter: So today, MoviePass and subscription plans are relevant to our U.S. circuit as opposed to the global circuit. And we've always said that our U.S. circuit is diversified enough that we make pricing decisions on a theatre-by-theatre basis, taking into account the particular market, demographic film programming and the impact of our strategic investments. In other words, how we converted to a recliner seats, added a TITAN LUXE or TITAN XC screen or made F&B upgrades or implemented F&B discount programs. This comprehensive approach to pricing has resulted in increased attendance over the last few years for us. The first quarter 2019 was disappointing because the slate of film in the U.S. from both the major studios and specialty distributors was particularly weak. So no, we're not expecting to financially underperform the market based on MoviePass and subscription plans. With that said, we'll continue to monitor the subscription plans and try to understand how these programs can survive economically and more beneficially into our relationships with the studios. We're planning to test our own subscription plan by the end of 2019 in one market, but the key will be to avoid cannibalizing earnings are selling tickets at prices that don't reflect our costs. To put it simply, we're going to evaluate this opportunity but in a manner that focuses on building a strong and sustainable circuit in the U.S.
Andrzej Matyczynski: What was the Q1 impact from lease accounting changes? And what was the 2018 impact? Gilbert?
Gilbert Avanes: For Q1 2019, we are reporting according to Accounting Standards Codification 842, leases using the modified retrospective method. The standard will have a material impact on our consolidated balance sheet but not on our consolidated income statement or statement of cash flow. The most significant impact will be the recognition of right of use asset and lease liability for operating leases, while are accounting capital leases remains substantially unchanged. Adoption of the standard will result in recognition of right of use of assets of $232.3 million and operating lease liability of $245.3 million as of January 1, 2019 as stated on our Q1 2019 Form 10-Q. We recognize the cumulative effect of the initially applying the new lease standard as an adjustment to the opening balance of retained earnings. The comparative information has not been restated and continues to be reported under the accounting standard in effect for those periods.
Andrzej Matyczynski: Thanks, Gilbert. Next question, some of our stockholders enquired as to our plans with respect to the development of cinema locations in addition to the forward described at our annual meeting and in our 10-Q. Ellen, could you address that?
Ellen Cotter: At our annual meeting, we advised that our business plan contemplated the development of at least 10 new cinemas over the next three years. The 10 cinemas referred to include the four under contract in Australia. Additionally, based in our ongoing conversations with certain potential landlords to oversees and in the United States, where projecting that over the next few years will organically add six more theaters with half of those six being in Australia. Our discussions in the U.S., related to the expansion of the Angelika brand and oversees our expansion opportunities, primarily relate to the expansion of the Reading Cinema brand.
Andrzej Matyczynski: Thanks Ellen. Our first question, could you please provide more details on the three-year strategic plan? Ellen?
Ellen Cotter: Our three year strategic plan focuses on the upgrading of our existing cinemas to add luxury recliner seating, TITAN branded auditoriums and enhanced F&B options, the development in appropriate markets of new cinema opportunities, and the continued development and/or redevelopment of our current real estate assets. We don't publicly disclose individual projects, investments and return goals, but we've said numerous times that we generally look for high single-digit percentage returns on our real estate projects and mid-teen percentage returns on our cinema renovation project. And we expect higher returns on new build cinema project. We've made significant investments over the last few years in both our cinema and real estate portfolios. At our recent stockholder meeting, Gilbert highlighted the relative increases in revenue and adjusted EBITDA over the last three years. From 2015 to 2018, our Company's total revenues have increased by 20% and our adjusted EBITDA for this period went up 26%. For further details, we direct you to our presentation section of our website as our three-year plan provides the basis for all of our investor presentations.
Andrzej Matyczynski: Thanks, again, Ellen. This one looks like for you Gilbert. Would Reading looks to paydown debt before moving to other projects like Cinema 1, 2 and 3, given that the debt taken on the finance of Union Square?
Gilbert Avanes: Our ability to make capital acquisition and/or improvements from a financing perspective has been defined by our ability to generate strong cash flow as well as manage and service our debt. We take a long term view on our capital investments and assess each and every opportunity and it's financing on its own merits. At our financial trend Slide on our stockholders presentation show our debt to adjusted EBITDA will fluctuate as we make these types of value-added acquisitions improvements. We have and will continue to manage our balance sheets in a prudent and responsible manner.
Andrzej Matyczynski: Thanks, Gilbert. And we'll wrap up with a final question that I can fill it. What additional steps will the company takes to attract both sell-side analysts and buy-side investors to the company to obtain a lower cost of capital and higher valuation. What are the next investment conferences Reading plans to present at? Well, we'll continue to engage with the investment community through non-deal road shows and presenting at investor conferences. We are pleased to have secure coverage from three sell-side analysts in just the last few years. We plan to attend the Gabelli Conference in June and the B. Riley Consumer Conference in early October this year. So the details will be made available through a press release in the near future.
Andrzej Matyczynski: Well, that marks the conclusion of the call. We, as usual, are available for any follow-up calls, so please do not hesitate to reach out to. We appreciate you listening to the call today and thank you for your attention.